Jun Nishimura: Hello, everyone. My name is Nishimura. I will be presenting to you the financial results of the third quarter for the fiscal year ending in March 2025. If you can please have a look at Page 1, I would like to go over the highlights of the third quarter. First, for the performance of Q3 year-to-date, we experienced continued strong performance of B2B Audio Equipment, sales recovery of digital pianos and impact of yen depreciation. However, the revenue declined in real terms due to continued weak Musical Instrument business reflecting the sluggish Chinese market. The core operating profit increased due to a significant profit increase in Audio Equipment business, positive effects impact and reduction in SG&A cost despite the continued decline in Musical Instrument revenue. The company has made the decision to consolidate piano productions to Japan and China. Therefore, an impairment loss of ¥3 billion was recorded for the piano manufacturing facilities in Indonesia. As for the full year forecast, revenue is generally in line with the previous forecast, but the core operating profit is expected to decrease due to one-time expense. An additional ¥3.5 billion in cost, such as special retirement expenses for Indonesian piano manufacturing facility personnel, are factored into the forecast. Next, I would like to move to Page 3, which is the summary of the third quarter year-to-date for the fiscal year. The sales revenue is ¥350.7 billion, an increase of ¥8.9 billion year-on-year. However, if we exclude the impact of the exchange rate, the revenue is minus 1.7%. The core operating profit is ¥31.9 billion, an increase of ¥4.1 billion year-on-year. The net profit is ¥14.3 billion, as shown here, a minus ¥6.4 billion year-on-year. This is the summary of the three quarters, the nine months of the year. Next, please take a look at Page 4. This is a comparison of the core operating profit versus last year. As you can see, compared to the last year’s core operating profit of ¥27.8 billion, the impact of the exchange rate adds ¥7.7 billion. Then there is a decline of ¥2.6 billion from decrease in sales, production and model mix. However, the positive impact from the previous year’s structural reform has contributed ¥1.5 billion. Then, IMC Business and Others is minus ¥700 million, resulting in ¥31.9 billion for the profit. Next, I would like to share with you performance by business segment. For the Musical Instrument s business, the revenue was ¥224.9 billion, a minus ¥3.1 billion versus last year and this includes the exchange rate impact of ¥9.6 billion. Core operating profit was ¥18.3 billion, a minus ¥3 billion year-on-year. This also includes the exchange rate impact of ¥5.2 billion. For the Audio Equipment business, the revenue was ¥98 billion, a positive ¥11.8 billion versus last year. This business segment experienced growth even without the FX impact. Similarly, the core operating profit was ¥11.5 billion, an increase even without the FX impact. IMC Business and Others segment had a revenue of ¥27.7 billion, which was a negative if we exclude the exchange rate impact. The core operating profit was also negative in real terms if we exclude the exchange rate impact. Next, please take a look at Page 6. This is the full year outlook. First, the revenue is projected at ¥460 billion, keeping status quo from the previous projection. As for the core operating profit, we are projecting ¥33 billion, a minus ¥4 billion from the previous projection. The net profit has also been downward revised by ¥4.5 billion from the previous projection. As a result, the net profit is projected to be ¥13.5 billion. Next, please take a look at Page 7. This is the waterfall chart for the core operating profit comparison for the full year. The top half of the page is a comparison versus last year. There is an increase of ¥8 billion from ¥33.7 billion due to the exchange rate impact. However, decrease in sales, production and model mix has a big impact of minus ¥8.8 billion. Compared to the previous year, there were positive contributors such as the structural reform from last year, the difference in one-time expenses, as well as the SG&A being efficiently managed. Yet, IMC Business and Others experienced minus ¥1.1 billion, as a result the core operating profit is projected to land at ¥33 billion. Let’s take a look at the bottom half of the slide, the core operating profit versus the previous projection. There are impacts from the decrease in sales and production, and the IMC Business and Others on the right, of minus ¥1.1 billion. The efficiency in SG&A is a contributing factor of ¥1.6 billion, but we have had to record ¥3 billion in one-time expense, which will be explained later. Next, please take a look at Page 8. This is the full year outlook by business segment with the comparison versus last fiscal year. First, for the Musical Instruments business, the revenue is ¥294 billion, a minus ¥11.2 billion from previous year. The revenue does have a plus ¥9.7 billion in impact from the exchange rate, so the real performance is a big decline. The core operating profit has a similar story. As for the Audio Equipment, the revenue is ¥129 billion, a positive ¥7.9 billion from previous year, and also has the exchange rate impact of ¥3.8 billion. However, even excluding the FX impact, the Audio Equipment segment has an increase in revenue and profit. The revenue for IMC Business and Others is ¥37 billion, projecting to land with a decline in revenue and co-operating profit on a real performance basis. Now, please take a look at Page 9. We have announced that we will be reorganizing the piano production system. The company has decided to reorganize the production system to match the business scale. In regards to this reorganization, I would like to further explain. First, the business environment has experienced drastic change. We have previously explained about the significant decline in demand in China, which is the biggest market globally. The size of the Chinese piano market has shrunk dramatically by about one-fourth in size, from 400,000 units at peak to less than 100,000 units. Furthermore, the global market continued to aggravate post-COVID. To respond to such changes in the business environment, we have been continuing our structural reform since the last fiscal year. However, the decline in demand was much faster than expected, not allowing us to reduce our fixed cost reduction in time to cover the decline. Also, we expect that the demand for acoustic pianos in China will not return substantially from the current level. Therefore, we are strategizing to shift to higher value-added models. To do so, the immediate priority is to optimize and streamline the scale of production in line with future demand forecasts. Currently, we have two piano production sites in Indonesia, the YI Yamaha Indonesia that manufactures entry-level finished acoustic pianos, and YMPA Yamaha Musical Products Asia that produces wooden piano parts. We have decided to terminate piano productions in these two locations in Indonesia and consolidate acoustic piano productions to Japan and China, which remains the largest market. First, as for Japan, we will reinforce the mother production function with high-skill technique and some of the production will be transferred from Indonesia. As for China, with a sufficient production facility, we will shift to higher value-added models for the Chinese market and transfer the entry-model production from Indonesia for the global market. Next is Page 10. Here’s the timeline and summary of the piano production structural reform. This shows you the schedule to finalize the series of acoustic production structural reform. We will complete this with the end of production in December of 2025, and to add, that we’ll complete the recording of restructuring costs. First, last fiscal year that ended in March 2024, we had to calculate about ¥3.7 billion in structural reform costs in Q3 and Q4, which kicked off this reform. And for this fiscal year ending in March 2025, in Q2, Q3 and Q4 going forward, there will be a total of ¥14.7 billion in structural reform costs that will be recorded. As a result, the P&L will improve from next year and onwards, and as you can see here, from the year when we can start to capture full impact, we can expect an improvement of P&L by a total of ¥5.5 billion. Again, the booking of structural reform costs will be completed with the schedule shown here. Next, I would like to go over the segment overview. Please refer to Page 12. First, the Musical Instrument segment. This is the cumulative performance from Q1 to Q3. Despite recovery trend in digital pianos, the revenue declined due to the continued sluggish Chinese market and weak global demand. The revenue of Digital Musical Instruments increased as digital piano sales recovered. Sales of wind, string, and percussion instruments declined as financial subsidies in the U.S. expired. Sales of guitars was flat to previous year despite weak sales in North America and Europe as the rest of the world showed steady growth. For the full year projection, China market will continue to be weak, but this trend should bottom out and the sales of digital pianos are forecasted to recover. The declining demand of piano in China is starting to bottom out, and as for the Digital Musical Instruments, we predict it to stay flat as digital piano sales recovers. We are seeing the slowdown of wind, strings, and percussion instruments in the U.S. as initially predicted, and the guitar forecast revenue declined due to challenging market conditions in the North America and Europe. Pages 13 and 14 are the revenue and trend by major product category and by region. Please have a look later for your reference. Next on to Page 15, the revenue and core operating profit of Audio Equipment segment. In Q3, B2B product sales continue to perform strong with growth in revenue. The consumer product sales declined due to downsizing of home audio business. The revenue increased significantly due to the continued strong sales of B2B products. For the full year projection, we have downward revised the core operating profit forecast. First, the consumer product sales are expected to decrease as the home audio business downsizing progresses. We have included one-time costs following the downsizing of home audio business in the forecast. B2B product sales are projected to increase significantly due to continued robust demand. I would now like to quickly explain to you about the expected one-time costs. For the home audio business, we will terminate the sales of volume zone priced products such as AV receivers and sales in immersing markets. As a result, we will be narrowing down the models that we launch, as well as product lineup and regions. With this, we are currently investigating the electronic parts that will be unnecessary for the future along with what can be used for future products, but we have included this as one-time cost and we will continue to investigate this in Q4. You will find similar slides for Audio Equipment in the next few pages broken down to consumer products, B2B products and trend by region. Next, I would like to move on to Page 18, the IMC Business and Others. The Q3 performance year-to-date is shown here. The sales of electronic devices increased significantly driven by sales of automotive sound system. The sales of automobile interior wood components, FA factory automation equipment, and golf products decreased. For the full year projection, the automotive sound system is predicted to stay strong and also predict recovery of FA equipment. However, the revenue is projected to decrease due to sluggish sales of automobile interior wood components and golf products. Next is Page 20, the balance sheet summary. The numbers shown here are as of end of Q3 and the forecast as of end of March. Please refer to the numbers here for your reference. Next, I will move on to Page 21. This slide shows you the ROE, ROIC and shareholder returns. First, as for ROE, the ROE for this fiscal year ending in March 2025 is forecasted at 2.7% which is lower than the previous forecast. Recording additional structural reform cost was the main reason, but we apologize if we did not meet the shareholders’ expectations. The ROIC has also been downward revised since the previous forecast. As for the shareholder return at the bottom left, the dividend payout ratio for this year has remained at 91.6% as we have previously announced that we will keep the dividend. The total payout ratio for the midterm, the three years, is projected to be 134.8%. The cross holdings of shares will be 12.6% as of end of December. The number has been reduced by selling part of the Yamaha Motor Corporation shares. Next is Page 22 about the acquisition and cancellation of treasury stock. The share buyback of ¥14 billion has been executed as shown on this slide, and the 12 million shares that were acquired have been cancelled as of December 27, 2024. Next is Page 23. We have resolved another round of share buyback at the Board of Directors meeting on February 5th. The reason for the acquisition is to enhance shareholder returns and capital efficiency. The amount of acquisition is a maximum of ¥30 billion and the method of acquisition is as shown on this slide. The company plans to cancel the shares purchased in this acquisition. Now if you can skip to Page 26. These are some key focused areas in our midterm business plan. To further strengthen the business foundation, we will be incorporating a corporate venture capital based in Silicon Valley in the U.S. as shown on the left of this page. This fund will aim for continuous creation of innovation through both investment and business development. Within 2025, we plan to establish our own fund, Yamaha Music Innovations Fund, LP, with a total of US$50 million. In terms of setting sustainability as a source of value, we have received the Japan Wood Design Award for the first time in 2024, which is a forest conservation project in Tanzania. Also, in expanding the market through the promotion and development of music culture, we are continuing to expand instrumental music education initiatives in countries such as the Philippines and Mexico. And this concludes my presentation. Thank you very much.
Q - :